Operator: [Interpreted] Ladies and gentlemen, welcome to the presentation of the financial results of the first half of the year 2025. Now over to Axel Dumas, Head of Hermès International; and Mr. Eric du Halgouët, in charge of Finances. Gentlemen, over to you.
Axel Olivier Dumas: [Interpreted] Thank you. Good morning, one and all. I'm very happy to present to you today the half year results for 2025. At the end of June 2025, Hermès recorded a solid growth of sales and the current operating income up by 6%. The sales reached EUR 8 billion, up by 8% at constant rate and all the regions are progressing. The solidity of the results of the first half year results reflect the strength of the Hermès model. They're based on the singularity and authenticity of our artisanal model, our creative originality, our exceptional know-how and uncompromising quality. I wish to thank our customers for their trust and our employees for their commitment. In these uncertain times, our customers were present sensitive to the singularity of our objects and the strong territorial anchor in locally and the transmission of know-how. Our house pursues its investments in production capacity and securing our supply chain as well as our exclusive distribution network to accompany the pace of long-term momentum of the house. We have continued to develop employment and training. Hence, for 25,700 people end of June, of which 62% are in France. We're going to continue to invest and recruit to make the success of the Hermès last. And I will come back to several of these points in the course of the presentation. Let's come to some of the salient facts. The first half of the year, inspired by the theme of the year, Drawn to Craft. The 16 divisions have given free rein to their creativity. Let's mention some examples. Amongst the leather collections, let's note the new models, Faubourg Express, P’tit Arçon as well as the bag Bolide Messenger for the men's universe. Men and women's ready-to-wear collections have once again met with very good welcome all over the world, namely during the fashion shows in Paris, Seoul and Shanghai within the spectacular bond that you see on the screen. The creation of the Maison universe presented at the Milan Furniture Fair have been very well received with 50,000 visitors, and we have launched the Rouge Brillant Silky. Hermès pursues its investments in this production capacity. We've got 4 projects for leather workshops in the 4 years to come, namely the Maroquinerie de L'Isle d'Espanac in Charente, which will open its doors in September next. The work continues in Loupes, Gironde with the planned opening for next year. And this semester, we have also laid the first stone for the Charleville-Mézières leather workshop in the Ardennes, which will open in 2027. And we've announced in April this new leather workshop in Colombelles in Normandy by 2028. It will be the 10th leather hub. The investments in capacity have been strengthened in all other divisions, and I'd like to mention here the laying of the first stone for the extension of the Couzeix site in Tableware in May and Noirmont in Switzerland for Watches in July. The securing of supplies continues with our historical partners. Finally, to accompany its development, the group continues to invest in real estate projects, logistic activities and IT projects. Let's now come to our exclusive and integrated retail network. We've continued to strengthen it true to our multi-local approach, which allows our collections to be closer to our customers. In the first half of the year, amongst the renovations and extensions of the stores, I would like to mention Florence, you see the stairway, Central Embassy in Thailand and in Taichung and Macau in Greater China. In the first half of 2025, we've continued to talk about the universe of Hermès through events that are offbeat and joyful such as Mystery at the Grooms' that took place in New York, an escape game around the theme of the year. Event in Hermès in the Making in Shenzhen in China, which received more than 38,000 visitors discovering our artisans and the making of our objects and our know-how and our exceptional raw materials. And what a pleasure to see Simon Delestre on the Hermès saddle winning for the third time, the Saut Hermès. Let's now come to the responsible approach of Hermès. In the first half of 2025, group continues its commitments. First, as a responsible employer. The group has strengthened its staff by over 500 people in the first half, of which 300 in France. True to its social model and wanting to share the fruit of its growth with those who contribute every day, Hermès has distributed in the first half of 2025, a bonus of EUR 4,500 to all the employees worldwide for 2024. In terms of diversity and inclusion, the rate of employment of people with disabilities has reached 7.9% in France beyond legal obligations. And finally, Hermès pursues its investments in line with its climate-related ambitions and preservation of resources. I would like to mention the leather workshop of Bourgoin-Jallieu and Aix-les-Bains, which has been renovated for better environmental performance. We continue to assert our attachment to the territories where we set ourselves up and pursue the deployment of the Hermès School of Savoir-Faire, which has given certificates to students of 20 promotions 2024. Let's now come to the activity. End of June 2025, Hermès has had a particularly solid performance. The sales are up to EUR 8 billion, up by 8% at constant exchange rate and 7% at current exchange rates. All regions are growing and the leather as well as other divisions of Hermès have flagged notable progress. Second quarter, the sales have reached EUR 3.9 billion, progressing by 9% at constant exchange rates, improving with regard to the Q1. Let's look at activity by geographical area. In the first half, all regions are growing. Europe, excluding France, plus 13%, solid progression supported by the loyalty of its local customers and the momentum of tourist flows. And France, plus 9%, benefited from the growth. Japan, plus 16% continues its great progress, thanks to the loyalty of its clients, the quality of the local network. Asia, plus 3% is growing in Q2 in spite of a difficult backdrop, and the region was really driven by the loyalty of local customers. America, plus 12% confirms its great momentum in spite of a volatile context, driven by double-digit growth in the U.S. The zone -- others, sorry, mainly includes the Middle East and posted particularly solid growth. Regional breakdown is balanced. The slight change are a reflection of a slight dip in Asia, leading to an uptick in Europe, Japan and the Middle East. Now let's take a look at the mid-tier, the division breakdown. At the end of June 2025, Leather and Saddles made remarkable progress. Leather and Saddles plus 12% in keeping with its annual trajectory, thanks to its increase in production capacity. Ready-to-wear and Accessories stands at plus 6%, driven by the latest ready-to-wear collections. Silk and Textiles continues to grow, thanks to new drawings, new designs and new formats. Perfume and Beauty is at minus 4%, but compares negatively to a strong Q2 with the launches of Barénia. In a difficult context, Watches continued to build on its unique know-how and its exceptional complications. The other divisions of Hermès, Jewellery and the Home universe posted strong growth. The changes in the division breakdown captures the strong growth of Leather Goods in the first half of the year. Over now to Eric du Halgouët, who is our Finance General Director, and we will be speaking about our financial results.
Eric du Halgouët: [Interpreted] Good morning, one and all. The group posted strong performances, both in earnings and cash generation. Operating income stands at EUR 3.3 billion, up 6%. Net profit restated after the one-off tax on large French companies stands at EUR 2.5 billion, up 6%. Adjusted available cash flow stands at EUR 1.8 billion. Our revenue for the first half is in excess of EUR 8 billion in spite of the negative currency impact, close to EUR 80 million due to the depreciation of the CNY, USD and Korean won. Gross margin stands at 7.7% of sales, close to the first half of 2024. The negative impact of currency hedging in 2025 was offset by profits on options by the price increase in May in the U.S. and a limited increase of costs. Indeed, cost increases of raw materials, precious materials, for instance, will manifest itself in the second half of the year. Communication expenses stand at EUR 294 million, up 8%. Administrative and selling costs stand at EUR 1.5 billion and are growing slightly faster than our revenue. The group has reinforced its sales force, its different divisions, its support functions and also launched IT projects and projects also in the distribution network. These costs are booked under costs in keeping with accounting rules. Other income and expenses stand at EUR 519 million. It's mainly depreciation, fixed assets and rights of use. The increase compared to the first half of 2024 is mainly attributable to our employers' contribution from 20% to 30% for the free share plan given out to all our employees in June 2023. Our recurring operating income for the first half, therefore, reaches EUR 3.3 billion, up 6% compared to the same period in 2024. Recurring operating profitability reaches 41.4%, close to the first half of 2024. Net financial income is a total of EUR 148 million, close to the first half of 2024. The drop of EUR 35 million in income on cash is offset by a drop in cost of currency hedging. Our tax expense for the first half is strongly impacted by a one-off tax on large French companies, companies that have revenue in excess of EUR 3 billion, and that will apply for -- to the average of taxes on benefits for 2024 and '25. This contribution is estimated at EUR 350 million for the whole year. And so for the first half of 2025, it's a cost of EUR 260 million or an increase of 7.5% of our tax rate. The result of our associates stands at EUR 26 million. The net profit group share stands at EUR 2.2 billion. After this one-off tax contribution, it reaches EUR 2.5 billion, up 6% at the same pace as our recurring operating income. Bar that exceptional contribution, net profitability reaches 31.2%, close to the levels of 2024. Between 2015 and 2025, our revenue and net profit group share have been multiplied respectively by 3.5 and 4.7. In other words, an average annual rate growth over 10 years or 13.3% and 16.6%. The group has invested EUR 316 million in this first half of 2025. EUR 159 million were devoted to renovated and extending our distribution network, mainly in the U.S. with the Scottsdale and Nashville project, but also in China with Beijing, in the UAE with the Dubai Mall project and in Europe with our projects in Geneva and New Bond Street in London, which will open in 2026. EUR 85 million were earmarked to reinforce our capacity production, especially in our leather workshops, of L'Isle-d'Espagnac and Charleville-Mézières as well as in the upstream for textiles, Maison and perfumes. EUR 71 million were invested in our real estate, digital tools, IT in our logistics sites in Bobigny and Vémars. Operational investments will speed up in the second half of the year and will be in excess of EUR 1 billion for the whole year. Our operating cash flow stands at EUR 2.7 billion. The changes in our working capital requirements represent a use of cash flow of EUR 0.4 billion. The slight drop compared to 2024 mainly is down to slower increases in our stocks. After taking into account the operational investments and the reimbursement of our rent debts, adjusted available cash flow stands at EUR 1.8 billion. We have also bought up shares in companies to be in keeping with our vertical integration strategy. EUR 2.8 billion of dividends were paid out and Hermès has not bought up any of its own shares. Restated net cash flow stands at EUR 10.7 billion on June 30, 2025. Cash makes up 50% of total assets and equity stands at more than EUR 16 billion, more than 75% of liabilities. At the end of this first half, the group remains financially robust, allowing us to remain independent whilst rolling out our long-term strategy with confidence. Thank you very much for your attention, and over to Axel to discuss the outlook.
Axel Olivier Dumas: [Interpreted] Thank you, Eric. I now come to the outlook of the group unchanged. For 2025, the group pursues the year with confidence in an economic and geopolitical context, which remains complex. We will pursue a momentum carried by the enthusiasm and creativity of all the teams worldwide. In the second half of the year, Hermès will maintain the course and strengthen its investments in all the divisions and all geographical areas. We will open in September the 24th leather workshop in L'Isle-d'Espagnac in Charente, and we will inaugurate the stores of Scottsdale and Nashville in the U.S.A. as well as the enlargement in Seoul in Korea and Changsha in China. We continue to create jobs in France and internationally. In conclusion, I wish to thank once again our customers for their loyalty everywhere in the world as well as our teams because this success is above all the fruit of their everyday work, which makes of Hermès a lively house, carried by the team of the year drawing. We keep our pencil in hand, our palette of colors bright and deal with confidence, the white page of the second half of the year with confidence. And now we are ready with Eric to answer to your questions.
Operator: [Interpreted] [Operator Instructions] The next question comes from Luca, Bernstein.
Luca Giuseppe Solca: [Interpreted] I have a question on the increase of the revenue and especially amongst the different categories of clients. I was wondering whether like your competition, you have a feeling that middle class clients are under pressure. If you look at sales in Silk, for example, it seems to be the case. But I'll let you elaborate on that. And second question on the nationality breakdown, I'm wondering whether you think that Chinese clients are sending out signals that things are improving in China. And how fast do you think things will improve in China, since Chinese clients are probably a bit more conservative now than they used to be?
Axel Olivier Dumas: [Interpreted] Thank you very much for that question, Luca. So when it comes to the different client demographics, what I can tell you is that the clients who discover Hermès, who step into the store for the very first time and often their first purchase will be a belt or a perfume or silk. These people are slightly less numerous at the moment because across the whole world, there is quite a lot of concern about geopolitical developments, economic developments. So there is a global trend to save money rather than to spend it. So that explains, to some extent, why our aspirational client base is not coming to our stores as much as they used to. We also noticed the same trend on our digital channel. However, at Hermès, we have a very loyal customer base. And once people buy an Hermès product, they very often come back and remain loyal to Hermès. So the group continues to grow in spite of the current backdrop, and you've seen the 1.9% increase in the first half of the year. The mid-tier, the divisions with high value, be it Jewellery, Ready-to-wear for women or Leather Goods are growing quite well. Or remain quite robust -- sorry, on China now. I think that Chinese clients are fantastic, and we need China for the foreseeable. There was a real estate crisis in China, problems or rather ups and downs with the stock exchange in China, a geopolitical context, which led Chinese clients to buy less and to save more. Now I personally can't see a significant uptick in China. I think they are still in the kind of wait-and-see attitude. I see some people who say things are improving, but their numbers are going down. At Hermès, we are very lucky, in that we have grown quite a lot in China. We posted growth in China recently. It's a country where I spent 2 years. It's where I started my career. It's a country that I particularly like. The momentum of a few years ago is not back at the moment, but I'm sure that we'll be back to more dynamism in the future. There are 2 regions which are impacted for us, France and Europe. There are no changes in trends. It's mainly the clients from the U.S. and the Middle East who are in our stores. We saw a small drop in June in France, but the Middle East clients came back after a prolonged period of tension.
Operator: [Interpreted] The next question is from Adrien Duverger from Goldman Sachs.
Adrien Duverger: [Interpreted] I have 2. You commented upon the performance in China. Can you also comment upon the situation in the United States? I guess that leather is going to continue to perform well given that the supply is more limited than demand. Have you, however, seen any change in the performance in other divisions, namely the ones that you say that have a less high value? Second question, given the very good figures of this first half of the year, does it make you more optimistic on the possibility of increasing your margins for 2025?
Axel Olivier Dumas: [Interpreted] Well, I'll answer for the U.S.A. As I explained to Luca, there is a general trend indeed to have less aspirational customers and some divisions, métiers that we call volume have been more affected than high-value divisions. But however, you have seen the very strong results of the U.S.A. We're very proud of having a double-digit growth in this zone. And it is, in particular, thanks to the good performance of the group and the quality of its products because we are talking about a plus 12% over the half year. And the quality of the teams, we have teams that excellent. And U.S.A. is interesting because every week is different. So it would be difficult for me to give you a trend when you have the West Coast doing very well, then you have East Coast and then you have Texas, then you have Florida, which has its own dynamic. And so we managed to grow by 12% with sometimes encountering difficulties as we did with the fires in the West Coast, but offset elsewhere. U.S.A., probably one of the countries where all the other divisions, excluding leather, are also doing well. This is part of their success on the -- making up for the plus 12%. To extrapolate on the second half of the year and the margin, I will, of course, give the floor to the expert who is Eric. But may I say that in Goldman Sachs, we've -- the currency question, that's not enough of favor with the strengthening of the euro, the weakening of the dollar and the RMB maybe.
Eric du Halgouët: [Interpreted] Well, to complete the elements that we take into account is the acceleration of our investments, which will go beyond EUR 1 billion for all of the year where we had spent EUR 300 million in the first half of the year. And it is a communication event as well, which will probably reach for the whole of the year, EUR 700 million as against EUR 300 million spent in the first part of the year. So again, an acceleration. Axel was mentioning this a currency effect impact, which was offset partially by elements by exceptional one-off events, but which will be relatively homogenous for the second half of the year. And therefore, more visible, which is EUR 220 million over the year, so EUR 100 million in the second half of the year. And finally, an element to be taken into account, you will have observed in the last years. In the second half of the year, we have an impact of the reduction in the gross margin because of the sell-through of our raw material. First semester, we benefit from raw materials that have been bought the previous year. And this year, gold and precious metals that I mentioned with an average weighted cost, which will increase mechanically in the second part of the year.
Operator: [Interpreted] And the next question is from Anne-Laure Bismuth from HSBC.
Anne-Laure Bismuth: [Interpreted] Two questions. First of all, regarding the momentum for the rest of the year. Are you confident that you're going to be able to maintain this momentum? And when I look at the annual outlook for leather, I imagine that volumes are going to go up plus 7% for volumes, plus 7% for prices. So are you still expecting things to speed up in the second half of the year? And the second question is on the performance of ready-to-wear, a division that has always performed very well. Could you tell us why it has slowed down recently?
Axel Olivier Dumas: [Interpreted] Well, absolutely. I don't know if we can talk about a speed up towards the end of the year because we've had a great Q1, Q1 with the Chinese New Year, which is a bit difficult, a second quarter, which is really very honorable. Our objective for Leather Goods are in line with 6% for volume. So yes, 12% for the whole year if you include the price increase. So we remain in keeping in line with Q1, or rather with the first half of the year. So the second half of the year is going to be in keeping with the first half. Now for the rest, it's difficult for me to make any kind of forecasts and to give you figures because there are a lot of surprises at the moment, but I can't foresee any huge shift in trends. Now when it goes -- when it comes, sorry, to ready-to-wear, there's a little bit of a paradox here because there are 2 extremes. There is a strong appetite for our women's ready-to-wear collections, which is a value division at Hermès. And then we have other divisions with a bit more volume like belts and jewels and accessories, which have been affected a bit more by the drop in footfall, which explains the results that you've seen. So there is quite a gap between these categories.
Operator: [Interpreted] And the next question is from Charles-Louis Scotti.
Charles-Louis Scotti: [Interpreted] I have 2. The first concerning your performance by geographical area. All areas have a strong growth. Just like to have some more detail on the reason for the slowdown in France and to go from plus 14% to plus 4% in the second half. You've talked about the tourists. Can you tell us a little more about the slowdown? Second question concerns your price strategy in the U.S. You've increased the prices in the beginning of May, if I remember correctly. The new levels of customs duties, will they lead to a further adjustment of the prices?
Axel Olivier Dumas: [Interpreted] For France, I'm not at all worried about France, no change in trend. For the structural, there surely be a comparative effect that was slightly more difficult in the Q3. It was Olympic Games, our biggest customers had come a little earlier. Events in the Middle East meant that we had lesser tourists from the Middle East in June. So we see a good momentum on France in the month of July, but we also have had very good results in July last year in the seaside resort because Paris was deserted in favor of these cities. So there's no change in trend for France. It's part of the countries that is doing well. Concerning customs duties, we've always said that the custom duty will be offset by price increase. So we are waiting for some precisions of the negotiations. Customs duties were 4.7% the U.S., they added 10%. Does that make 15% is 15%, 15%? Or is it 15% that replaces 10%? So we're waiting to see. For the moment, we don't plan any changes after having increased the price in May, plus 10%.
Operator: [Interpreted] And the next question is from Edouard Aubin, Morgan Stanley.
Edouard Aubin: [Interpreted] Two questions. First of all, Eric, could you maybe go back to some of the productivity indicators especially 2 indicators, the growth -- the revenue growth compared to the number of staff because there was an increase in the staff, I believe. But could you tell us also what is -- what you foresee for recruitments going forward? And the increase of revenue compared to square meters Because I haven't seen this figure or the revenue compared to the number of stores? And the second question, for the midterm, Axel, you told us that 4 leather workshops are going to be opening across the next 4 years in France. So for the midterm, are we going to continue with this 6%, 7% of volumes and 12% increase in value for the next 4 years. Is this what we need to bear in mind going forward?
Eric du Halgouët: [Interpreted] Well, we don't publish our productivity indicators with the revenue compared to the headcount or to the number of stores, but they are making good progress. Axel, over to you.
Axel Olivier Dumas: [Interpreted] Yes, indeed, we're making progress. We haven't reduced our capacity compared to our objectives when it comes to recruitment at Hermès. We also take the necessary time to recruit the right person with the right character. And often, the year starts quite slowly and then things speed up towards the end of the year when it comes to recruitment. And there are also positions that are created in production, then in sales or in the offices where I work. So for the midterm and for Leather Goods, we have indeed made that decision and have followed this kind of trend of creating a new leather workshop every year. So we've got a 4-year plan because they are long-term projects. We have 4 Leather Goods workshops, which are going to open in 4 years. And every time, it's an additional 300 jobs that are created. As you well know, we might not keep that pace forever. But we're also very lucky to have craft people who learn and who become more agile and more able to make different products and work different materials, which means that the increase in volume is not just down to new staff joining the company. It's also attributable to staff that has been there for a long time, but who have made a great deal of progress. Now I don't want to talk about price increases, which at Hermès are linked to the increases in the price of raw materials, increases in salaries as well and the fluctuations of currency rates in different countries, which means that we can have real growth that is different to the growth of our volumes. Regarding our stores now, we haven't significantly increased -- hold on, let me check. We haven't significantly increased the number of stores. We probably have even 1 store less in the first half of the year because there were 5 openings and 6 closings. But yes, the network is pretty much the same, but it's not necessarily the same store. Sometimes they are better positioned and often much bigger, which allows us to showcase more divisions than just Leather Goods. So we've got bigger spaces for shoes, for jewelry, for ready-to-wear, et cetera, more so than in the post. So in the number of stores, there might be fewer, but there's definitely more square meters. And by the end of the year, sorry, what do you expect in terms of numbers of stores? So towards the end of the year, it's going to remain stable, as I said, actually, because we're going to have 5 openings of new stores, and we're going to close 6 stores. So it's minus 1 store. I mean it's stable essentially. Yes, 230 stores overall or 193 that we directly manage. We know all these stores. We visit them every day. So yes, the number is going to remain stable.
Operator: [Interpreted] Next question from Thomas Chauvet, Citi.
Thomas Vincent Chauvet: [Interpreted] Two questions, please. The first one on Japan. Amongst your big markets, it's a country that has had the highest growth in the second half, first quarter as well, much higher than your competitors who are the 2 figures. You have tourism, but can you tell us about the Japanese customers and tell us about the weight of tourists in Japan, even if it's low? Is there a phenomenon that's different with the resilience of tourist customers, while the prices are lower than that of China and Korea? Now in terms of desirability of Leather Goods, something that drew my curiosity was the recent sale at Sotheby's where the first Birkin bag was sold for EUR 10 million. If you believe the figures a good tribute to your uncle. But what does it inspire you in terms of speculation of certain kinds of Hermès handbags with the secondary markets that are very active, in particular for this bag, which was sold to a Japanese collector, I believe. But a general question also maybe on a reaction with regard to incredible sale were you -- would you have thought of buying it for your collection, your conservatory, which we had the pleasure of visiting because this bag would have its rightful place in your windows?
Axel Olivier Dumas: [Interpreted] Well, let me start with the bag because anyway, Eric will -- is here. Eric would not have allowed me in his cost management to participate in this sale, but we didn't want to. We're not interested in it. We are not -- we don't participate in the secondhand market. This inspires me, and thank you for reminding the role of Jean-Louis Dumas Hermès and in the creation of the Birkin bag. This is a very touching moment and in particular, because we had a special relationship with Jane Birkin, who may I remind you, had sold this bag to start with within the framework of a charity. It doesn't spire much in me like economy, the speculative is not very good. I prefer a regular economy to speculation. It confirms my thinking in 2 ways. One, I'm quite proud and happy. I'm not sure of having the support of all the financial analysts on this. I'm quite happy that our prices are done as a function of the manufacturing cost and not a function of the desirability. This is a commitment that we have with our customers. You may or may not like the bag. It's not because everybody likes it that we'll sell it for more. If you ask me sincerely in the success of Hermès, I think that this authenticity and this trust that we try to have with our customers comes into play, whereby even in difficult moments, they come to us. The negative side, and I must say this in the field of speculation, sometimes we have false customers to come to our stores to buy them, to resell them, and they prevent us from serving our real customers, and that is a real cause for concern for us. Because sometimes it really does spoil something that we adore that is the relationship with our customers. So I'm not at all happy to see this development of new bags that are sold in secondhand market. So just like anybody who is -- well, I pull a face and I'm not happy and doesn't make me feel in a good mood. Japan is different. Japan is a country where Hermès has a very long-standing story. First customers in the '80s. You spoke about Jean-Louis Dumas. Half of the time, I saw my uncle leaving for Japan and sometimes for a very short period. And so we have a very special relationship with that very strong customer base in Japan. Japan, not just because they had a plus 16%. I know that you follow the figures out of the plus 22% last year, plus 16% on a plus 22%. Japan is a country where we've always invested. And I think this is one of our strengths at a time when people divested in Japan somewhat and invested mainly in the rest of Asia. We invested in the rest of Asia, too, but we continue to invest in Japan. So today, we have a network, retail network, which is quite impeccable. We have local customers that have been flattered and happy to see us continue to invest. And we very frankly have teams, local Hermès teams that are absolutely extraordinary that I draw inspiration from them rather than the other way around, and they've really created a resilient model. As a result of our strength of our local customers, maybe we have less as compared to others, had tourist customers who came to look for cheaper prices. We don't have much this -- the clientele that looks for the better price. Our clientele is faithful, loyal, loyal to the store, loyal to their sales associate, something that I really love often for them, the first person important in Hermès is not at all the manager of Hermès, but the sales associate in the store. And that's a very good thing. Thank you.
Operator: And now questions in English. The next question is from Melania Grippo, BNP Paribas.
Melania Grippo: This is Melania Grippo from BNP Paribas. I've got 2 questions and a clarification. First, I wanted to ask if you could please elaborate on what you are currently seeing or we are seeing in Q2 in Korea? And also if you could please elaborate on the growth by volume, price mix in the quarter? And my clarification question is on the A&P on a full year basis after what you reported in the first half.
Axel Olivier Dumas: Okay. Sorry, this was not perfect. For Asia, you were talking about Korea, if I'm correct. Yes, we continue to see quite a growth in Korea. Could I mirror a little bit what I said about Japan to Korea. We have an incredible team in Korea. We invest quite a lot. One of our fourth Maison was in Seoul at Dosan Park. So this is also a country where we have a very long tradition of a very faithful clientele, and we've been lucky enough to have a lot of resilience in this market. What is sure is what Eric told you later, we have very few perimeter effect technically because we are not opening the number. Price depends also about the currency and everything. So we have growth both in price and in volume worldwide. And for the A&P, you recognize that our share of A&P is quite low, at least that's what the communication team sometimes tell me because we are around 3.6% and it's going to grow at the same level as the turnover of the global turnover. So I don't see any change in the way we are doing business for the past years and hopefully for the coming years.
Operator: [Interpreted] We have no further questions. So over to Axel Dumas.
Axel Olivier Dumas: [Interpreted] Well, thank you very much for taking part in this conference. And I wish you, well, a great deal of pleasure for the second half of the year. Thank you.
Operator: [Interpreted] Ladies and gentlemen, the conference is now over. Thank you so very much for taking part, and you can now sign out. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]